Andrew Briggs: Thank you, Claire and good morning, everyone and welcome. Thank you for those who joined in the room and also to those who've joined us on the webcam. It gives me great pleasure to be sharing Phoenix Group's 2024 full year results with you today. I'm joined on stage by Nic Nicandrou. Nic Nicandrou, our new Group CFO, who started back in December. Like myself, Nic has worked in the industry for over 30 years and I'm delighted to have a CFO of his caliber working alongside me. Looking at today's agenda, I'll start with a summary of the progress we've made one year into the 3-year strategy we announced last March. I'll hand over to Nic to take you through the 2024 financial performance and then I will close with an overview of our priorities across 2025 and 2026. 2024 has been a year of strong financial performance. This performance along with our increasing confidence has driven an upgrade to a number of the targets we set back in March across our financial framework of cash, capital and earnings. From a cash perspective, we've outperformed in our key metric operating cash generation or OCG and achieved our 2026 target of £1.4 billion two years early and supporting total cash generation of £1.8 billion. This overdelivery of OCG and outlook has driven an upgrade to our three-year 2024 to 2026 total cash generated from £4.4 billion to £5.1 billion. I will talk more about the importance of OCG shortly. In terms of capital, we're reaffirming our targets. Solvency capital coverage ratio of 172% is in the top half of our target operating range and an improvement on the half year. We remain firmly committed to achieving a 30% target leverage ratio by 2026 and I'm disappointed that it has remained flat at 36% this year, despite repaying debt because Own Funds has been lower than I would have liked. Going forward, delivering Own Funds growth is a critical focus for us. Also, the increased cash target means we now have substantial excess cash which is the capacity to pay down debt. Deleveraging is a key priority of the group over the next two years and Nic will outline our plans there. Recognizing the importance of IFRS earnings to investors, we've added earnings to our financial framework last year. It was pleasing to see a 31% year-on-year increase in IFRS adjusted operating profit to £825 million. Combined with our confidence in achieving our £250 million cost saving target, this has driven the increase to our 2026 target from £900 million to £1.1 billion. This is a key milestone for the group. And since £1.1 billion of operating profit exceeds recurring uses on an IFRS basis, it will support getting upward trajectory on shareholders' equity. The strong financial performance we are delivering as we execute our strategy supports our progressive and sustainable dividend policy. And the Board has recommended a 2.6% increase in the final dividend. There are many ways to look at the financials of a life insurer but we believe operating cash generation is the most important because it's the sustainable surplus generation in the life operating companies that's also remitted of dividends up to the holdco. Hence, it's the primary driver of shareholder dividends. The 22% year-on-year increase in OCG reflects not only the growth in our Pensions and Savings and Retirement Solutions businesses but also a step-up in contribution from the Phoenix asset management team. There are three key messages here. The first, is that our dividend is well covered and very secure or the more so, as we hedge the major financial risks to protect cash generation and hence the dividend. Second, is that at £1.4 billion OCG, generates £300 million of excess cash per annum to deploy in a core capital allocation framework. Our immediate focus, for excess cash will be deleveraging to achieve our 30% leverage ratio target. And the third is that, the growth in our underlying businesses means, we now expect OCG to grow at mid-single digits going forward. With free cash of over £800 million generated, Phoenix is currently trading or was when we opened this morning, trading at a 17% free cash flow yield which highlights the value opportunity. Our vision, is to become the UK's leading retirement savings and income business, serving customers at all stages of their life cycle from 18 plus to 80 plus. Our Pensions and Savings and Retirement Solutions businesses are focused on meeting customer needs, as they save for transition to and secure income in retirement, with innovative Retirement Income Solutions at our core. To win in these markets, we need to offer a compelling customer experience. That means, offering a full range of Retirement Savings and Income Solutions, through a slick digital interface, with a range of fund investment options, supported by excellent customer service and which is sold at a competitive price that is enabled by an efficient group-wide operating model. And this will be delivered, through our strategic priorities of grow, optimize and enhance. We are passionate about our purpose, of helping people secure a life of possibilities. We continue to advocate for the change that will help our customers achieve the financial future, they expect. There's only one in seven, U.K. adults that's saving enough and only 10% are getting advice. Our market is huge, structurally growing and each segment represents an opportunity for Phoenix to succeed in different ways. Starting on the left-hand side, the Workplace Pensions market is growing rapidly, driven by auto enrollment which is our primary customer in vehicle. We've built a leading proposition and are poised to be a winner from the move to Master Trust schemes and from the government's plans to drive consolidation to super funds in this market. We often talk about Workplace, as a flywheel business, where scale is critical to driving operating leverage. So our strategy in this market is simple: to retain existing schemes and win new schemes and hence maintain our top three position, as this market grows rapidly. Moving to Retail, this market is split between direct and intermediated channels. As the responsibility for retirement planning has shifted towards individuals, people are seeking an increasingly broad range of innovative retirement savings and income products. With only one in 10 people paying for a financial advice, we think the introduction of targeted support could be a game changer and will stimulate the retail direct market further. We're investing here, to move from being a top 10 to a top five player. By better supporting and engaging the one in five adults, who are already Phoenix Group customers as they make decisions to stay and consolidate with us. And to attract new customers through intermediaries, by building out innovative propositions that better help them meet their clients' needs. Lastly, in annuities, we've seen higher interest rates drive resurgence in the individual annuity market as well as the continuation of a strong bulk purchase annuity market. We've been a top five participant in the BPA market over recent years, and I'm also particularly pleased that Tom Ground and his team have rapidly built a 12% share of the individual annuity market having only just reentered in 2023. We continue to be disciplined in the deployment of capital annuities alongside developing propositions suited to customer needs. So let me take you through our divisions. Our Pensions and Savings propositions help customer's journey to and through retirement. This is our capital-light fee-based business where growing assets and expanding operating margins, a key to strong financial performance. Our Workplace business delivered net inflows of £5.3 billion in 2024, 13% higher than prior year as we are successfully executing our strategy of retaining existing schemes and winning new schemes. The success is driven by the leading employer proposition we built under the trusted Standard Life brand with our strong Master Trust offering, and the sustainable fund solutions with the FCA's new sustainability labeling. And the strength of our proposition is consistently recognized by industry awards. We are passionate about providing excellent customer service and offering a leading digital interface that enables members to track and engage with pensions and promotes financial wellness. Finally, we offer competitive pricing underpinned by our ongoing migrations sufficient admin platform. In retail, new business retail flows are up 60% year-on-year, but we have more to do to really capture the opportunity here. Standard Life is a brand that has been trusted to look after people savings and retirement needs for 200 years and resonate strongly with the one in five people who are already Phoenix Group customers. Retaining customers is an important focus for our business and we are exploring personalized engagement. Stimulated days, the testing indicates this is creating improved retention and consolidation. Customer needs are changing. And I'm delighted that we are innovating in response through both the launch of new products like the Standard Life Smoothed Managed Fund; and through the launch of new fund solutions like Future Growth Capital, a new private market's investment management joint venture. And key to success in these markets is a great digital experience, creating tools to help customers plan for and manage retirement income, for example, partnering with Raindrop to support customers consolidating lost pensions. The progress of this business has translated into really strong financial performance in 2024. This is a simple business that we run on an IFRS basis. We make money by growing assets, up 11% year-on-year; and driving cost discipline leading to margin expansion, up five basis points to 17 basis points, which in turn drives 66% growth in operating profit to £316 million. I'm delighted with the progress Colin Williams and his team are making here. And with strong market growth, increasing our share of retail and further cost reductions there is much more to come. Our Retirement Solutions businesses help customers secure income certainty in retirement. This is a capital utilizing spread-based business. We maintained a disciplined deployment of capital in this business, to preserve a diversify balance sheet and limit shareholder credit risk. We're winning BPAs through our excellent member experience. Our digital self-service, allows customers to understand their annuity position online real time, and is supported by other communication channels with a focus on clarity of customer messaging. Our success in this market is also driven by the leading employer proposition we built, with comprehensive buy-in and buyout capabilities available. Finally, we're able to offer competitive pricing, driven by our asset management and balance sheet issuing capabilities, and an expanding panel of reinsurance partnerships. In Individual Annuities, fast guaranteed pricing is a differentiator, as well as timely execution. I'm particularly proud that we launched our new digital quote capability this year, where over 90% of our quotations are underwritten and returned within seconds. We've also expanded our product range, including the Standard Life Guaranteed Fixed-term Income product and underpin our offering with a great digital experience for annuity customers. This business has also performed well this year, writing similar volumes of business year-on-year, despite a one-third reduction in capital. This is due to the improvement in the annuity capital strain to 3%. Under IFRS, we recognize a future store profits on insurance business called the contractual service margin, and it was pleasing to see this grow 14% in the year. The high releases of CSM into profit, contributed to the 25% year-on-year increase, in operating profit. Over the last four years, we've invested in building in-house expertise in Phoenix Asset Management, to deliver outcomes for customers and enhance risk adjusted returns. We see this value creation emerge in cash and capital as recurring management actions. We put significant investment into our people capabilities under Mike Eakins' leadership, expanding the team from less than 50 colleagues in 2020 to over 400 today, from investment professionals to credit risk experts. The in-house team drive all strategic asset allocation decisions and select best-in-class partners to work with, in each asset class with Aberdeen of course, remaining our key strategic growth partner. Our investment in capabilities mean that our in-house team is now managing increasing parts of the shareholder fixed income portfolio. On top of the talent developed, we've invested in leading-edge technology using platforms such as Aladdin and AWS, which support our robust credit risk management framework. So, how does this benefit, our business units? For Pensions and Savings, it enables us to develop new products, get better customer returns by accessing pockets value in specialism such as, private assets and deliver fund efficiencies by negotiating asset management agreements. For Retirement Solutions, it allows us to directly source annuity-backed assets and broaden the investable universe, enabling us to price BPA portfolios more dynamically and competitively in the market. These actions allow us to continually re-optimize the portfolio within the metric adjustment rules and deliver recurring management actions. Scaling these capabilities and achieving £0.5 billion of recurring management actions this year, has given us the confidence that this type of activity is replicable year in, year out. As firstly, the team is set up with both the technology and expertise to deliver; and secondly, the portfolio will grow as we to win business. Last March, I set out clear strategic priorities that will enable us to deliver our vision of the UK's leading retirement savings and income business. We're only one year into our three-year strategic plan to build a sustainably growing business. You will have seen that in 2024, we delivered excellent growth in profits in both Pensions and Savings, and Retirement Solutions. We've upgraded or reaffirmed our financial targets across our financial framework of cash, capital and earnings. The target upgrades are a key unlock to further strengthen the balance sheet in two ways as we grow. Firstly, the upgraded OCG creates substantial excess cash providing financial flexibility to reach our 30% leverage ratio target by 2026. Secondly, the upgraded IFRS operating profit target demonstrates a path to deliver profit in excess of recurring uses and support growth in shareholders' equity. Delivering on our strategy supports strong shareholder returns enabled by a progressive and sustainable dividend policy, which is well covered and secure. And with that, I'll hand over to Nic, who will cover his initial reflections and then talk in more detail about the financial performance. Nic?
Nic Nicandrou: Thank you, Andy. Okay. Thank you, Andy. Good morning, everyone, and let me start by saying, how pleased I am to be in the seat of CFO here at Phoenix and to be presenting the group's full year results. As Andy mentioned, I would like to share my initial views on the business, starting by how good a job he and the team have done in strategically and operationally pivoting Phoenix from a closed book consolidator into an open book player. The business has developed real strengths in Workplace and Annuities, both of which are market segments, with a phenomenal growth runway. These strengths are transferable to retail, and can be deployed to help many 12 million customers, journey to and through retirement. On the flip side, the balance sheet pivot has lagged the strategic pivot. As we stand here today, Phoenix is highly leveraged and is only now getting into a position where recurring sources of funds exceed recurring use. Finally, our business does not screen well under our IFRS 17, due in part to the intricacies of the new accounting rules, which in combination with the heading strategy mean that the reported IFRS shareholders' equity, underplays the intrinsic value of the business. The best way of testing these challenges is through repeatable operational delivery. By growing the recurring flow of capital year-after-year, we will improve the quality and in time the quantity of the stock of our capital. To this end, it is great to see the step-up in operating performance in 2024, which creates the momentum needed to address balance sheet picture, starting with leverage. So this is an exciting time to be joining Phoenix and I can see many ways in which I can bring my experience to bear. Starting with the financial highlights. In 2024, Phoenix grew operating cash generation by 22% to £1.4 billion, delivered total cash generation ahead of guidance at £1.8 billion, closed the year with a shareholder Solvency cover ratio in the top half of our operating range at 172% and increased IFRS adjusted operating profit by 31% to £825 million. Conversely, the solvency leverage ratio proved harder to shift remaining unchanged at 36%. IFRS loss after this was £1.1 billion and I will come back to this later. But the impact of this loss on IFRS equity was cushioned by the strong growth in CSM up 14% to deliver IFRS adjusted shareholders' equity of £3.7 billion. The strong cash, capital and operating performance of the group led the Board to recommend a 2.6% increase in the final dividend to 27.5p per share. Our confidence in sustaining this high level of performance going forward has led us to upgrade the cumulative total cash generation target from £4.4 billion to £5.1 billion and the 2026 IFRS operating profit target from £0.9 billion to £1.1 billion. The remaining targets are unchanged. As Andy has already outlined delivering these upgraded targets would create further financial capacity which allows us to undertake the deleveraging needed to hit our 30% goal, while continuing to support a growing dividend. The greater step-up in operational performance has come through operating cash generation which represents the recurring Solvency surplus generated by our life companies in excess of our capital management policy set at 135% of SCR. OCG grew 22% year-on-year supported by two factors. Firstly, new business growth and cost efficiencies which have more than offset the natural run-off of our in-force business; and secondly, the higher contribution from recurring management actions at £537 million ahead of our £400 million target and the £313 million posted in the prior year. The outperformance here is attributed to the in-house asset management capabilities coming onstream faster than planned. I will provide you with more color on recurring management actions on the next slide. But before doing so, I would like to make two further points. The first is that the capabilities that have underpinned this result being our strong performance focus and cost discipline are now firmly in place. And this reinforces our confidence that OCG can grow at a mid single-digit percentage rate going forward. The second is that in 2025, we will provide you with analysis of OCG components by business. By way of an early look, I share on this slide the indicative contribution to OCG from our two largest businesses. Approximately, £0.85 billion comes from Retirement Solutions. The size of the contribution here reflects the capital intensity of this business with large cash releases each year supported by recurring management action. Of the balance, approximately £0.35 billion comes from Pensions and Savings. Lower in size, due to the capital-light nature of this business. The OCG contribution here will increase as the asset base grows and as the planned cost savings are delivered. There are three sources of recurring management actions are set out on this slide, being annuity portfolio optimization, capital improvements and fund simplification. While the respective contribution from each component will vary year-on-year, we are confident that in aggregate recurring management actions will continue to be of this order of magnitude going forward. The largest contribution relates to portfolio reoptimization on assets backing the Retirement Solutions annuity book, and this is where we saw the greatest year-on-year increase. A key element here is sourcing assets with high yield than those assumed in the pricing over £6billion annual new annuity flows, alongside delivering value from reoptimization of the annuity back book. These actions unlock value without taking more risk always ensuring that assets and liabilities are cash flow and duration matched. Examples include, credit relative trades, where we can lock into an improved risk-adjusted spread; public credit to guilt rotation and vice versa, allowing us to take advantage of the risk-reward balance at any given time; and restructuring of private credit. Within the matching adjustment requirements, these individual actions are not of any significance and represent the summation of a steady flow of small actions to tweak the portfolio, which allow us to recognize incremental gains, while always staying cash flow and duration matched. For example in 2024, there was an average of 50-or-so actions per week, up from the 2023 levels in sync with the build-out of our capabilities. Some actions simply capture additional profit, others allow us to increase the risk-adjusted yield on our assets and capitalize this into lower liability values. By way of illustration, delivering £323 million of OCG is equivalent to a yield pickup of around 70 – sorry of around 7 basis points in our £40 billion annuity portfolio with a 12.5 average liability duration – 12.5-year average liability duration. So you can see that only small impacts on yield can result in meaningful contribution to management actions. The second component is capital improvements, which represents a long-standing Phoenix capability of extracting recurring value from model and data improvements, primarily on our capital-heavy business. This delivered £92 million of value in 2024, a similar level to the previous year. The third component relates to fund simplification and this is another way in which the asset management team supports OCG, with Pension and Savings, the main benefactor. We interact with over 20 external asset managers, paying a total of £300 million of fees annually under 60 IMAs that are typically negotiated on three-year cycles, covering 5,500 funds. With two IMAs renegotiated and 250 funds rationalized in 2024, we secured a £12 million post-tax annual fee saving generating the capitalized effect shown. With further fund rationalization in train, we are confident that there are several years of opportunity ahead. At £1.4 billion, our operating cash generation now comfortably exceeds our recurring uses of dividend, debt interest and operating costs as well as the £200 million annual capital allocation to annuities. The £300 million annual excess cash is available to deploy in line with our capital allocation framework with a focus on deleveraging. More on this shortly. Moving to total cash generation. You can see on the left, the £1.8 billion remitted by life companies in 2024. In addition to the OCG, this includes £0.4 billion of non-operating cash generation, representing non-recurring management actions and the remittance of a small component of life company surplus stock. On the right of the slide, we move from looking at the one-year TCG picture to the three-year picture covered by our targets. The OCG step-up achieved in 2024 and our confidence in growing it from here has led us to upgrade the cumulative three-year TCG target to £5.1 billion, comprising an increased operating component of £4.4 billion and an unchanged non-operating component of £0.7 billion. With the upgraded £5.1 billion, representing our expected sources of cash, this next slide illustrates the expected uses of this cash over the three-year period covered by our targets. Working across the slide, you can see on the left, that the £0.7 billion non-operating cash generation is intended to fund the £0.7 billion total non-operating investment in our strategic priorities. As you move to the middle of the slide, you see how the cumulative OCG component of £4.4 billion is expected to cover cumulative recurring uses being the £2.7 billion for dividend operating costs and debt interest and the £0.6 billion for annuity new business capital. Over this three-year period, we now expect to generate around £1.1 billion of excess cash shown on the right. In 2024, some £250 million of this excess has been used to retire debt. The remaining £850 million represents excess cash capacity available to be deployed in line with our capital allocation framework with a focus on deleveraging. I now want to turn to capital and cover the solvency surplus walk depicted in the chart with a corresponding Own Fund and SCCR components shown in the table below the chart. I would draw your attention to the items grouped on the left of the chart, being the net recurring capital generation post-dividend of £0.2 billion equivalent to five points of coverage ratio; and the items grouped in the table below being the recurring Own Funds generation of £0.3 billion. These recurring amounts are at higher levels than in previous years, demonstrating the step-up in operating performance that I referenced earlier. Moving to the right-hand side of the walk, the group nonrecurring components represented a net drag in 2024 on both surplus and Own Funds. This drag will diminish going forward with nonrecurring management actions expected to offset the remaining investment spend in the next two years. We closed 2024 with a capital coverage ratio of 172%. The £200 million debt repayment made in February 2025 has a minus 4% pro forma impact on the coverage ratio. As a reminder, our leverage ratio represents debt divided by Solvency II regulated Own Funds. At end 2024, this ratio stood at 36% flat year-on-year despite the £250 million debt repayment. This resetting effects which you can see in the chart. The first being a 2% benefit from retiring this debt and the second being an equivalent 2% drag from the decline observed in both the shareholders' Own Funds covered in the previous slide and the decline in with-profit funds due to the gradual runoff of the book. In the rest of the chart, I set out an illustrated path to achieving the target, factoring the various moving parts. The expected £850 million excess cash I covered earlier provides us with ample capacity to pay down debt. The drivers of the denominator, in other words the drivers of own funds are illustrated next in the chart. Delivering £0.3 billion and recurring shareholder Own Fund generation will reduce the ratio by 2%. And we expect the Own Funds generated by nonrecurring management actions to the remaining investment spend. That with profits Own Fund runoff will continue to provide a small drive to the denominator. I would add that the path to 30% will not be linear as we will need to refinance part of the circa £1 billion debt instruments that fall due in 2025 and 2026. Finally, as you would expect, we have modeled in our plans the interplay between debt reduction and the shareholders' solvency surplus and are confident that we can deliver the 30% target, while remaining in the top half of our solvency cover range. Let me now spend a few minutes on the objectives and importance of our hedging program and I will cover later then on consequences on IFRS. In our business, we carry many markets risks which we regard as unrewarded risks like interest rates, inflation, currency and equity. In downside scenarios, these risks depress both solvency surplus and cash generation. Alongside many of our peers, we hedge these risks with equities and rates being the most significant given our business mix. When it comes to hedging interest rate risk, the key question is one of reference benchmark. Phoenix has opted to hedge liabilities and SCR using swaps to lengthen asset duration so as to match the one in 200 liability duration. While the approach is both common and logical, in my view, the reference benchmark should have been managed more dynamically as rates moved up, and this is something that we can improve on going forward. Today, Phoenix hedges around 80% of the equity exposure in own funds and SCR through futures and other instruments. Having spent time looking at this aspect of the hedging, I'm comfortable with the approach that Phoenix has taken. My assessment is that while it is appropriate to hedge the equity risk of the closed book of business in runoff, we should not give up the benefit that comes from the growth in equity values that relates to the open book of new business. So I view the 80% equity risk hedge coverage as broadly representing the proportion attributable to the runoff book and expect this percentage to naturally drift downwards as the respective weight of the closed book declines. By hedging these risks, Phoenix protects both the solvency surplus and the annual cash generation. The sensitivities shown in the middle of the slide demonstrate how solvency surplus is cushioned against market movements, proving that the hedging is serving its intended purpose. The pie chart on the right shows the breakdown of our undiversified SCR, which incorporates the protection offered by the hedging program for unrewarded risks. These risk categories account for a relatively small percentage of our overall risk capital. While by hedging, we forgo the upside, the downward protection afforded is of paramount important to us as it provides certainty of cash, which in turn secures dividend payments. My summary assessment is that what we do here is logical, and I'm comfortable with the role that hedging plays in our financial framework. Aspects of the hedging can be tweaked as the business and markets evolve, and this is something that we will look at going forward. As regards the unhedged components of our SCR, I see multiple levers to improve efficiency, some of which can be executed relatively quickly, while others will take longer. Turning next to earnings. Our performance step-up is also evident in the IFRS operating profit metric, which is 31% higher at £825 million. Both of our key businesses reported healthy increases with pension and savings result supported by growth in AUA and operating leverage, while the Retirement Solutions result improved due to higher CSM releases from strong new business flows and higher value added by asset management. Our cost efficiency program is bearing fruit with £63 million run rate savings delivered in 2024. One point to note is that we have included new disclosures in our appendix slides, which show the IFRS adjusted operating profit drivers of our two main businesses. Turning to costs. Having spent time reviewing the cost savings program, I am content that the £250 million run rate target is creditable, albeit too back-end phased, as illustrated in the chart on the left. This is one aspect of the savings program that I will continue to look at for opportunities to accelerate. Of the £63 million run rate savings delivered in 2024, £28 million was earned in year, primarily benefiting the Pensions and Savings business result. I can confirm that the majority of the £250 million savings will come through the IFRS operating profit, while about half will benefit OCG and solvency capital. Moving to our planned investment of circa £700 million post tax, some £350 million was incurred last year, in line with prior guidance that the spend would be front-end loaded. The remaining spend profile is shown on the right and you can rest assured that the appropriate rigor will be applied in ensuring that the benefits of this investment are delivered in full. Once we get beyond 2026, nonrecurring investment spend is expected to more than half from the 2026 level shown. Moving next to our key business unit performances under IFRS. Around 90% of the Pensions and Savings business is classified as IFRS 9 investment contracts where the reported profit represents fee revenues less costs. As Andy mentioned, we are really encouraged by our trading performance last year. We saw a 13% increase in Workplace net inflows to £5.3 billion, boosted by all-time high gross inflows of £9.3 billion. We also saw an improved gross inflow picture from retail, up 34% to £5.1 billion, reflecting our greater focus in engaging with our existing customers. Supported by market movements, AUA grew by 7% to £186.5 billion. This business reported a 66% increase in operating profit, reflecting higher revenues from the 11% increase in average AUA and benefiting from expense efficiency initiatives. The overall profit is equivalent to a 17 basis point margin on AUA. Going forward, future cost efficiencies will continue to provide a strong underpin to this margin and will counteract the revenue pressures created by the runoff of the legacy book. Retirement Solutions is classified as an insurance contract business and is accounted on a spread basis under IFRS 17. New business flows remained robust despite the one-third reduction in capital deployed written on attractive economics and supported by growing individual flows, individual annuity flows, up 81% to £1 billion. This segment recorded a 25% increase in operating profit, driven by the higher CSM and risk adjustment releases, up 18% year-on-year, reflecting the onboarding of sizable annual vintages of profitable annuity business. It is also driven by higher investment profits, reflecting both the growth in the excess assets backing this business and increases in the contribution of the annuity portfolio reoptimization management actions that I described earlier. The increase in our future store of insurance contract value in the CSM is a lead indicator for the growth of our profitability under IFRS. The 14% increase in pre-tax CSM to £3.257 million represents, an encouraging result. New business contributed £248 million to the increase, with annuities accounting for £203 million of this amount. A further £212 million, came from assumption changes, experience and economics. We have upgraded the 2026, IFRS operating profit target to £1.1 billion, reflecting our improved performance and our increased confidence in the underlying drive of IFRS profitability. The increase will be driven by underlying business growth, pushing investment contract AUA and insurance contract CSM higher, by the continued leveraging of our asset management capabilities and by the contribution of the £250 million of cost savings. The progression towards the 2026 target will therefore not be linear, and will be broadly in line with the back-end phasing of the cost savings. We expect that over half of the increase from the 2024 levels, will come through the capital-light Pension and Savings business, with the balance in the Retirement Solutions business and to a lesser extent in reductions to corporate center costs. At the £1.1 billion level, our 2026 IFRS operating profitability will be sufficient to fully cover our recurring uses, and create an access to fund our nonrecurring uses. The amounts illustrated on this slide on the users represent 2024 values with debt interest reducing as we delever and amortization of acquired VIF declining as this runs off. With nonrecurring uses normalizing post 2026, the point at which the IFRS net profit ex economics turns positive, will soon follow. Our aim is for IFRS shareholders' equity, excluding economics to grow -- our aim is for that to grow in 2027. The next slide shows the movement in IFRS shareholders' equity over 2024. On the left, you can see the progress that we made last year to close the gap between recurring sources and uses, down to a negative £182 million, a much improved picture compared to 2023. In the center, you can see the pre-tax £520 million of non-operating expenses, which includes the pre-tax planned investment spend. You also see the £1,297 million pre-tax loss from economic movements, driven primarily by the effects of the hedging program, specifically the negative marks associated with both the 80 basis points increase in 15-year rates and a 13% rise in equities. I will illustrate on the next slide why this represents an accounting mismatch. Our closing shareholders' equity position declined to £1.2 billion, while adjusted shareholders' equity stood at £3.7 billion. Let me now turn to the impact of hedging on IFRS reporting and explain why a program that serves its purpose of protecting solvency surplus so well gives rise to known accounting volatility under IFRS 17. I will do this with the help of a bridge between IFRS shareholders' equity and Solvency II surplus, which we are disclosing for the first time. The reconciling items should be familiar to many of you on the sell side from equivalent analysis produced by other firms. What this bridge shows is that the IFRS and Solvency II balance sheets are not comparable, as they treat investment contracts differently and adopt different valuation approaches for insurance contracts. For example, in relation to contracts, such as annuities, the future store of value under IFRS is carried as a liability within CSM and is valued using locked-in economic assumptions. This contrasts with Solvency II, where it is treated as capital and revalued at each balance sheet date in line with the change in rates. Another example is in relation to investment contracts, where IFRS does not capture the £3.6 billion future value of these contracts beyond the yet to be amortized £1.3 billion of acquired value in-force, which itself is carried at cost. Again, this contrasts with Solvency II, which recognizes this component in full and marks it to market at each balance sheet date. The third example is that IFRS does not capture risk capital requirements, which are factored in the CSR under Solvency II, when calculating surplus. In seeking to provide stability to our £3.5 billion surplus from market volatility, the hedging program has all of the above components in scope, with a movement in the value of the hedges, offsetting related value changes in these various components. However, as the work illustrates, the IFRS balance sheet does not feature many of these components and also prohibits the revaluation of annuity future profits, warehoused in the CSM from movements in rates. Therefore, on the IFRS reporting basis, the hedge appears naked, hence the £0.9 billion post-tax loss recorded in 2024, which is shown above the first bar in the bridge. The hedge offset effect comes through the value movements in the remaining Own Fund components, totaling plus £0.8 billion post-tax in 2024, shown above the Own Fund bars in the bridge; and the value movements in the SCR, which in 2024 rounded to zero, also shown above the SCR bar in the bridge. So you can see IFRS loss on the left is reduced to a considerably smaller net £0.1 billion loss at the Solvency Surplus level on the right. The sensitivity shown on the slide also bring this contrast to life with more material impacts under IFRS but relatively modest ones on the Solvency II. So in summary, having looked closely at Phoenix's approach to this, I am comfortable with the way hedging is protecting cash and capital and I am satisfied that the known consequences under IFRS give rise to no practical limitations. This includes dividend, which I will come to next. Phoenix is a highly cash-generative business and it therefore, rightly returns cash to shareholders through a progressive dividend. In line with what I have seen in other groups, the Board's annual dividend assessment is carried out by reference to the three measures shown on this slide. The first being operating cash generation, which at £1.4 billion, represented a healthy source of cash – recurring cash covering recurring uses. The second being the shareholder solvency level, which at 172% represents an appropriately robust coverage ratio. And the third, being the quantum of legal distributable reserves recorded in the groups holding company's solo accounts, which remained healthy at £5.6 billion. In 2024, these reserves were replenished by sizeable remittances from our life subsidiaries which report on the UK GAAP representing a less punitive basis than IFRS 17 and one under which they generated higher net profits in 2024 than 2023 even after the effects of hedging. At end 2024, these subsidiaries maintained substantial distributable reserves. So the consolidated IFRS 17 reporting basis does not reflect the remittance capacity of the group. In this overall context and consistent with previous guidance, the Board considers that the group's consolidated IFRS shareholders' equity is not a constraint on the payment of our dividend. To conclude, we have made a positive start in executing against our three-year strategy and financial targets and have built good momentum which we are carrying into 2025. Specifically, we have positioned the business to generate £1.4 billion of OCG, which we aim to grow at a mid single-digit percentage rate going forward more than covering our uses. The cumulative excess cash from our upgraded targets puts us firmly in control to reduce our leverage ratio to the 30% level. And achievement of the £1.1 billion IFRS operating profitability level will mean that in 2026 we will cover recurring uses on this reporting basis as well. Our performance step-up improves our ability to support the execution of our strategy and underpins our dividend. Thank you for your attention. I'll now hand you back to Andy.
Andrew Briggs: Thank you, Nic. So looking ahead, I wanted to share the priorities of Phoenix over the next two years as we continue to execute our strategic plan. We will grow by continuing to develop our propositions, meet more of our existing customer needs and acquire new customers. This will grow our operating cash generation mid single-digit percentage going forward and deliver a £1.1 billion of adjusted operating profit in 2026. We will optimize our in-force business and balance sheet. Hitting our 30% target leverage here is a major focus here as well as in our asset management and balance sheet efficiency capabilities to deliver recurring management actions year-in year-out. And we enhance by transforming our operating model and culture. Central to this strategic priority, the completion of our policy migrations with over 1.3 million policies migrated since January 2024. We're also on track to simplify our business to unlock £250 million of annual run-rate cost savings by the end of 2026. I'm conscious we've spoken a lot this morning about the underlying operating performance, our upgraded targets and the capabilities we've built. And we spent some time on our approach to hedging, our plans to redouble our efforts to delever the balance sheet and the progress we've made on the trajectory of shareholder equity before economics and how the Board does not consider this to be a constraint for dividend. We've generated significant free cash flow year in, year out currently delivering a free cash flow yield of 17%, as I mentioned earlier, and pay a progressive available dividend to shareholders. To sum up, we are pleased with the progress made in 2024, our strategic priorities are clear, and we are optimistic about what comes next. And with that move to questions.
A - Andrew Briggs : So we're going to start with questions in the room. If you can raise your hand if you have a question and we will get one of the roaming mics to you. Please can you start by introducing yourselves and the institution you represent. And then for those watching on the webcast, we will -- please use the Q&A facility and we will come to your question after we've answered those in the room. So why don't we start this slide? And I can see Abid. I think the first hand up there Abid so you get to go first. Very quick.
Abid Hussain : Thanks, Andy. I've got three questions if I can. The first one is on -- this is Abid Hussain from Panmure Liberum just for the others. The first question is on debt leverage. You've earmarked the remaining £850 million of excess capital to reduce the debt leverage. I'm wondering if you could put that capital to effectively into the business to accelerate the Own Funds growth over the medium-term. I appreciate there's a bit of a tricky tension between deleveraging and growing the Own Funds. The second question is on workplace savings. What's the all-in margin so that's the admin plus investment fee margin? Is it higher than the 17 bps that you quoted across the Pensions and Savings? I assume that the Workplace Pensions business is where you're seeing the operational leverage coming through. And then on the flip side, do you still need to invest more in the platform in the apps to improve user experience on Workplace savings? And then the final question is for Nic. Nic, I appreciate you sharing some of your initial thoughts. What's your views across the segmental -- where do you think more work is required than you initially thought? And what is the group better at than what you initially thought by line of business?
Andrew Briggs: Okay. So I'm going to have Nic to take the first on debt leverage and the third, obviously, specifically his thoughts there. Workplace, I will take. So what we've done in the appendix next one in the appendix is actually set out in more detail the breakdown of the P&L between the revenue and the costs. So what you can source pensions and savings, the revenue overall is 48 basis points so the cost of -- and that leads to the net, net profit of £17 million. We're not disclosing the breakdown of that between Workplace and retail, but we've got given materially more disclosure there today. What I'd say is that increase in margin from 12 bps to 17 bps has happened while most of the growth has come through Workplace. So that kind of gives you a sense of it. And ultimately it's driving that improvement in operating leverage going forward. So we would expect the 48 bps margin will come down marginally over time as the mix of business changes, but we'd expect in bps terms to come down by more because the cost -- reduce costs overall against the growing book. And hence we would expect some expansion in that 17 bps margin going forward. Nic, do you want to take the first and third?
Nic Nicandrou : Okay. So on the leverage, I didn't mean to imply that the full £850 million is entirely earmarked for -- we wanted to demonstrate to you that with the upgraded targets we're firmly in control in terms of getting there. There are various moving parts which we illustrated in the chart, clearly, if we get some help and we can improve on the denominator effect we need to use the £850 million. And then we'll be in a position, to think about where we might deploy it next. But we're firmly committed to the 30. We wanted to show you, that we were in control. And we'll be prepared to deploy it, if necessary. On the third question relating to the, Segmental. I mean, the Segmental is ultimately a financial lens in the business. If your question is, what I have been impressed? I have been impressed by, well, firstly the opportunity coming -- having spent five years in my previous role, in Asia, thinking that, that's the only part of the world where there is growth. Actually I was pleasantly surprised with the opportunities that exist both in the annuity space in the U.K. and also in the retirement space. I mean, the opportunities are huge. And the capabilities that we have built here to access those opportunities are phenomenal. So that was -- it was a surprise to see opportunity, and also an organization that has all the tools to access it. The second positive surprise was just how good this asset management team is. I mean, you see the components that -- the way in which they've helped the capital generation. Of course, that's feeding through IFRS, but on a more modest basis at this point. But the capability is huge. And the ability to run assets on our own now, it's fully built. And it was great to discover, that Mike, and the team, currently run around £2 billion of assets directly in the private space. The one area which we can do a much, much better job. And we've started is own expenses. We should and can and will drive the operational costs down. We're committed to that, £250 million. We're always looking to do better, if we can. But yeah, that's one area that I think the organization can do much better.
Andrew Briggs: Just one very quick add, Abid if I may on the leverage side. So I was disappointed that Own Funds reduced over the year. In fairness indeed all our peers that have reported so far as well or the ones I have seen. But I'm really determined -- Nic and I really determined we grow that Own Funds -- financially put it into our annual incentive plan, our bonus. So for Nic and I, for the whole management team, growth in the unrestricted Tier 1, Own Funds is one of the key measures there. So we are really determined to get the growth in the overall franchise, feeding through to Own Funds growth and therefore improving the denominator in that leverage ratio at the time. Andy? I'll sort of go across if that's okay, for folk there.
Andrew Sinclair: Perfect. Thank you very much. It's Andrew Sinclair from Bank of America. First, great to hear that shareholders equity growing organically from 2027 ex-economics, but I just want to understand a little bit more. If we just assume that, bond yields, everything economics stay exactly flat as they are today, is there any positive pull to par effect, any negative ongoing hedge costs assuming no market moves? Just to understand what comes through that economic line, if just the economics stay flat. We can see the sensitivities for moves, but is there any underlying kind of positive negative or anything? The second -- apologies to start staying on the non-operating items, Nic, I think you said in 2026 better than half 2026's level. I mean, that could still be what £70-odd million. It's still a decent number. I think that's about 7% of operating profits based on your guidance. How low can that go? And if we are going to see £70 million recurring every year, should that not just be an operating item? How much can that, be controlled down further? And third, was just on the pipeline, like Workplace pensions annuities haven't really said too much about the pipeline. Just particularly on Workplace Pensions, I guess, what's the pipeline look at now scheme wins for 2025, et cetera? Thanks.
Andrew Briggs: Okay. So I'll get Nic to take the first one. I mean, just on the second the non-op, I mean, ultimately, it could be nothing. What you don't know is what regulatory changes coming down the track and that's why we're just giving ourselves some leeway. Because, if IFRS 18 comes along or Solvency 3 comes along then we just can't legislate or predict that ourselves, but it will be other thing that would drive the non-op on your second question. On the pipeline, really pleasing pipeline across the piece. So we -- I think Colin is safe to say, we're quoting on more based new schemes than ever at the moment. It's a huge pipeline there. I think we've got about £15 billion Tom that we're quoting on the BPA side at the moment. And then, I'm particularly pleased with the individual annuity side as well. And we're definitely seeing a resurgence in that market with higher. And also, we kind of had pension freedoms maybe 10 years ago now you get a lot of consumers get into their 70s, and they think actually looking to what now more like a 10% per annum income in retirement from my 70s, and I start to worry a bit more about cognitive matters and so forth. I think we'll see that, individual annuity market grow strongly as well. So definitely optimistic about the trading outlook. Do you want to pick up the first one and correct me on the second one, if you choose to.
Nic Nicandrou: Yeah. Okay. So on the first one, no, the type of instruments that we're using because we're trading upside for downside protection don't involve a significant cost. So in hypothetical scenario where markets stayed flat, I wish that would be true in some way for the hedging. No, we're not going to -- you're not going to see much noise in economics below the line. On cost, yeah, it's difficult to predict clear what regulatory changes will come through. I can think of one now that we know in the ESG disclosures and regulation is driving a ton of disclosures on climate and a whole host of other environmental areas from 2027 into 2028. We're required to produce thousands of new data points and publish them and have them audited to double materiality. And I know a lot of my colleagues on the CFO -- Insurance CFO Forum already exercised by the amount of work that's needed. Effectively the environmental reporting will look like our reporting audited to double materiality. Now that's -- we're only just engaging with that. But there is a regulatory disclosure coming down the track which we will need to spend alongside other organizations.
Andrew Briggs: This is our sweeping away regulation, right? Dom?
Dominic O'Mahony: Dominic O'Mahony, BNP Paribas Exane. I have three questions. Thank you. Just on the new business performance really striking to see the phenomenal growth in individual annuities. You used to give a picture of long-term cash generation coming out of the two business lines, I appreciate that's not part of the disclosure now. But could you just give a directional sense of whether those numbers have gone up or down or flat? Whether the actual creation of new cash streams coming out of both Retirement and Pension and Savings whether that's where that is relative to last year? The second one just on the sensitivity of the earnings, and I guess the Own Funds to yields. My guess, but it's only I guess, is that when interest rates go up, you get the negative mark-to-market through the ECO variances, but then the pull to par would go through the operating profit. Does that make the IFRS earnings sensitive to deal movements in the previous year? And if so, could you give us some sense of how powerful the 80 bps move in 2024 was the earnings outlook? And then just one thing that I piqued my interest. Nic, you said that you run the pensions and savings business on an IFRS basis. I just wanted to ask you what that meant. What that would mean you would do differently versus from say, a capital view and why you're doing it differently? Thank you.
Andrew Briggs: Okay. I'll comment on the first, as I've got the kind of history back to those days and let Nic comment on the second and third. So we're not giving the undiscounted long-term cash disclosure anymore because ultimately, the market said with higher rates, we need to understand discounted numbers, not undiscounted numbers. And between all the disclosures today, I think you'd agree, we've given you plenty. The direction of travel we're going in is to give operating cash generation by business unit and give you the drivers of that Nic started to give some sense of that. And so think about it, overall operating cash generation was up 22%, but we're guiding mid-single-digit growth going forward from here. Obviously, the growing parts of the business are going to deliver more of that versus something like profit that's in runoff. But as the year progresses, we will enhance that OCG disclosure for you. Nic, do you want to pick up on the other two?
Nic Nicandrou: Yes. So, you're right. Given that we're extending the asset duration, through the swaps to cover one in 200 liabilities, on the base balance sheet, we have assets duration that is long liability. When rates go up, the marks on the assets will be higher than the marks on the liability, which is why you've seen own funds being depressed. Now, IFRS uses a completely different methodology, to the way we calculate the discount rate. For annuities, it's a much more -- it's a top-down rather than a bottom-up methodology, with kind of more flexibility as to which assets you bring into scope. I don't expect the movement in yields to adversely affect what's -- the IFRS profile not least because, a lot of that is moved through the CSM release. In relation to, why do we look at the IFRS basis for P&S, I guess it is akin to an asset management business. I said 90% of the liabilities are effectively IFRS 9. It's revenues less costs. That's a very clean picture, which is not to say the OCG is not relevant, because ultimately, it a contributor to our overall solvency. But just to give you an example, the cost saves that we've delivered this year, to the extent that they've been on and relate to P&S have come through. And you've seen them cleanly in the additional disclosures. You've seen that effectively dumping down the trajectory of our costs. Whereas in the OCG, you'll take the full year effect, you have to figure out what the -- which is what we do, what the maintenance component is and then you'd capitalize that for the duration of the book. And that's great for capital, but it doesn't -- it doesn’t – it’s not -- it's interesting, but not that relevant in a way, we think about the growing profitability of P&S. So, that will be my answer to that question.
Andrew Briggs: So I'll go to Thomas and then we'll, sort of, come forward and loop around it.
Thomas Bateman: Hi, good morning. Thomas Bateman from Mediobanca. And thanks so much for presentation. I think it’s kind of what we needed actually. First question, just on back book deals. Obviously that was the investor case originally and that seems to be moving away now. But should we expect any more of those from Phoenix? Or are they dead and you're an open book player now? Second question is just on your strategy on equities. You clearly thought it was best to hedge that out now in the past, now you're looking to take some exposure. Just what's changed on the strategy there? And why differentiate between the back book and the open book here? And then finally just on the Standard Life Smoothed Investment product and what kind of traction has that got with investors, not with investors but with advisers and what's the growth outlook like there?
Andrew Briggs: Sure. So I'll take the first and third and pass the second to Nic. So in terms of M&A, M&A remains something we would -- we actively look at. I think the difference for us now is that we have a whole range of alternative ways we can deploy excess capital in organic growth, and therefore we're no longer reliant on M&A the way we were a few years ago. But it remains something that we look at. We see there's significant potential value from M&A. We would still be the first poll to call for anyone looking to sell a book of business. And still engage regularly with others CEOs to explore what might be available out there. And the way to think about it is we've now got a business that's generating £300 million per annum of excess cash. We will deploy that using a capital allocation framework against the highest return opportunities. We feel right now deleveraging is a priority focus. But if M&A deals came along that would give us a higher return relative to deleveraging then we would consider that. We would look at the highest value ways forward. I would say the bar overall is higher than it was before given the range of ways and the organic growth options that we have as a business. In terms of the Standard Life’s Smoothed managed funds, so we did a soft launch of that in the middle of last year just on one platform in the market. The take-up has been good, but not sufficient to dramatically change our overall results. The opportunity will come as we now scale that across other platforms, which is what we're planning to do this year. So we get more advisers using that proposition. So we remain optimistic of the potential over time. It was always going to take a period of time to build that up as a new proposition in the market. Do you want to pick up the second one Nic?
Nic Nicandrou: Yes. So no that's a really good question and the right question. So really the hedging of the back book is an overhang from a previous strategy. When we were a closed book consolidator at that time, we did deals. We committed to a certain IRR on these deals on the basis of the way they were funded. And in order to underpin the delivery of IRR, certain risks where hedged out in order to produce a stream of income if you like to repay debt and to pay interest, and to refinance to repay debt and pay the providers of capital. And that was the right strategy at the time. But as we've now pivoted into being an open book player, yes, we want to deliver to the deal IRRs that we committed to at the time of doing those deals. And with limited possibility to deviate away from that, which is why it makes sense to continue it on the back book. But as we now pivoted the strategy to be an open book player really you'd want to lock-in -- well, you'd want to benefit from any equity market upside on the new business that we're writing. So if you like, it's reflective of our history versus our strategy now.
Andrew Briggs: So we'll go to Farooq then Michael then Andrew then Larissa. We'll get there.
Farooq Hanif: Yes. Thank you very much. It’s Farooq Hanif from JPMorgan. First -- two questions only. So, what struck me first in your results was just how much your investment margin under IFRS went up compared to others. And I know, it's like it's difficult to compare different companies based on assumptions but what is it that you're doing that's generating this kind of higher spread versus your kind of locked-in rates that you think is different? And what is it about this kind of new investment team, particularly from your side Nic, that’s kind of bringing that, I guess, difference or a different approach from maybe what you expected just delivering those gains? And obviously, this is a key part of your £1.1 billion target. My second question is on deleveraging. So, one of the constraints I see, as well as that your Solvency II ratio, obviously, is built up of a lot of debt. So that £850 million of surplus, what does that represent in terms of Solvency II generated in terms of points that you'll generate that will then be offset by any deleveraging you’re doing? So, I'm kind of asking for what is the £850 million in terms of Solvency II points? Thank you.
Andrew Briggs: Thanks, Farooq. So I'll give an initial comment on the first one but then pass to Nic to build on that and take up the second. So what I'd say on the first one is that, I've worked in the industry over 30 years and most of my experience has been that you have an insurance company set over here with a bunch of actuaries doing their Solvency II and matching adjustments stuff. When you an asset manager sat over there, that's primarily focused on driving external flows into the asset manager and there just isn't that proximity of working together. The difference for us is basically these teams work -- the liability side and the annuities team and the asset management team work hand in glove. So this time -- we’re actually this year, we're bringing them together under Mike's leadership overall. And I think that is a real differentiator for us relative to what I've seen elsewhere over the last 30 years. Because the asset managers are getting into what are the matching adjustments rules and how do they work and the liability profile and so on, so I think that definitely differentiates. I also think it's fair to say Nic, we're more conservative in our yields we’re assuming in new business pricing and therefore, that comes through over time. But add your thoughts on that and pickup the second question.
Nic Nicandrou: That's right, Andy. Farooq, your question was in relation to IFRS, right? So, on an IFRS basis, again simplistically, we've delivered about 120 basis points on the AUM. That's pre-tax. And that was made up 80 basis points on core for want of a better expression and the 40-odd basis points coming through management actions. Actually, at 100 basis points to 120 basis points, that's not out of line with what others are reporting. So I don't think there's anything -- I mean, clearly yes, the management actions is -- I've already spoken about, comes from a deep capability. It's a smaller contribution than on OCG, because OCG have denominator effects in relation to SCR. But between 100 basis points and 120 basis points, I don't think it's out of sync. Now, it's higher than last year, admittedly. But that’s kind of par for the course, in the sense that as you get to implement a new accounting regime, you get to understand its drivers better. This is year two out of a -- last year we were just into it. And then you manage the instructions that you give the team in terms of how they want to generate management actions. Yes, we want them to look like based on Own Funds and surplus. And now there is an IFRS component as well. So, it's -- as you introduce new bases and you figure out ways of optimizing across all dimensions. So that explains the year-on-year increase alongside the capability of the team stepping up and seeing a benefit come through IFRS in the same way as you're seeing it through OCD. On the deleveraging, okay, we're £172 million. You saw us create five points of recurring and so kind of roll that forward for a couple of years, we will get you to a number. The £850 million is equivalent to around between 15 and 17 basis points. So we'll be up 10 and then down 15 and 17. That kind of gives you a sense of the model.
Andrew Briggs: Michael.
Michael Huttner: The first thing I want to say is actually I'm really impressed you remembered my name. So, thank you. I had three little comments. One is cost you said Nic short and long term. And I wonder, if you could give ideas about that. The second, I think when we spoke to sell-side and you mentioned it a little bit, the -- your asset managers are directly managing £2 billion, you said that would be growing. I just wondered, how much more you're giving them. And then the third, you said retail is key. I love retail. I like the annuities I'm getting there myself. Can you give us a feeling for how profitable this is? Is it £1 billion or whatever? I mean just to get a feel on maybe the growth that you can see there. Thank you.
Andrew Briggs: Sure. So, I'll take the second and third of those and let Nic take first. So, on asset management, I mean, we're really focused on building out the capability to optimize both returns we delivered for customers on the Pensions and Savings side and then drive strong value creation on the recurring management actions particularly on the Retirement Solutions side. And the primary focus is the strategic asset allocation line and then having the expertise to understand each of those underlying asset classes really well to then partner with leading class asset managers in those areas. But we do now have the capability to run assets in-house. For quite a long time now, we've been doing the illiquid assets on a nondiscretionary basis, so we’re basically making the investment decision. We still got our asset management partner running that. So we've got the ability to increase the amount we have in-house over time. No specific guidance on that today other than to say, there's more to come here. There's -- we're not -- we're often done in terms realizing the opportunity. In terms of the annuity business, there isn't a material difference and profitability between the BPA and the individual annuities. I mean if there was, we would do more of one or less of the other, yes? But having those different routes to market is attractive to us and allows us to balance and scale as things progress going forward. I think the first question was on cost, wasn't it? Yes.
Nic Nicandrou: Yes, I mean as I said, earlier the -- I think the £250 million is a creditable loadable target. We -- it is linked to a whole host of things, not least the completion of the migration, which is part of the reason this is back-end phased, but also kind of on the back of the pivot of the operating model, driving further simplification within the organization. I referenced also the opportunity to vastly rationalize the 5,500 funds that we currently manage. We want to look to get that to a much more modest level. So no, no, a lot of work to get to that point. And as we go through, I'm sure there'll be opportunities to go further. But I'll rest assured, if there are, we will take them, and we will update you at the appropriate point.
Andrew Briggs: Can you pass to Andrew behind. Thank you.
Andrew Crean: Thank you. It's Andrew Crean, Autonomous. Three questions. Nic, you said something on management actions where you said the target is £400 million. And then you made a comment, which I don't know is pic, you said of similar magnitude. The implication was that you'd be able to do more than £400 million more like the £537 million you did. I don't know whether that's reading too much in. Secondly, could you give us a sense of the new business strain? I know that's come down as you've invested more in. What is -- for the new business that you wrote, what is your allocation between gilts or government bonds, investment-grade credit and direct investments? And then finally, your target of 30% debt leverage is 38% on a shareholder basis if you take out the regulatory capital. I know you mentioned a couple of times that your free cash flow yield was up around 17% if you got a sense that the market was uncomfortable with that level of leverage, 38%, would you go further?
Andrew Briggs: So maybe I will take the third of those and let Nic take the first two. So the reason we use the regulatory basis is that it's basically what our debt holders look at. And ultimately, the leverage ratio is very relevant to the debt holders. And of course, the with-profit surpluses are kind of loss absorbing in a downside scenario. So 30% on a regulatory basis is getting in line with most of our -- or many of our major peers have similar levels there. Having said that, as we generate excess cash, we will deploy that against the highest return opportunities. So if we think that our cost of equity would come down materially further by deleveraging further than 30% on a regulatory basis, then we absolutely would consider that if that was going to be the highest return compared to alternative uses of that excess capital. Nic, do you want to take the first one?
Nic Nicandrou: Yeah. I mean the only other point kind of I would add, it was interesting before I joined to see the debate, whether it's regulatory or shareholders. I mean the reality is we need to get debt down. And that's what we're going to do. And hopefully, what we showed you today is that we're in control of that. On -- and the other -- the flip side to that argument in terms of is when you look at the interest that we paid and you express that as coverage to OCG generation, actually being at 5x to 6x, it's not a bad place to be from that perspective. Nevertheless, it needs to come down. It's better to have permanent capital than a capital that you have to refinance every 10 years, and we will drive that number down. In relation to management actions, the £400 million was the previous target. We're not renewing that target. I want us to move away from that. And really apologies if it didn't come through clearly enough. I think we can do -- we can keep on delivering something of the order of £500 million as we go forward. And candidly, as we grow the annuity book, we should do even better. If we're adding £6 billion of new premiums every year, and our payroll is equivalent to £3.7 billion. You'd see that annuity book go up and we should be able to apply all these capabilities to those future flows as well. So 500 plus as the annuity book grows. In relation to new business strain, thank you for asking the question. We've kept the allocation of 50% private, but we've increased the allocation to yields from 10% to 25% in the way that we priced in 2024. That had an impact on strain, clearly an impact on the IRR. And it also explains why the CSM margin is marginally down. But there is another -- so that explains, if you like, the switch and allocation explains half of the drop in the new business strain. The other half comes from at something structural that we didn't have before, when we merged Standard Life into Phoenix Life, with that came a whole host of tax-related losses and a deferred tax asset and under the one in 200, we've been able to take credit of the loss absorbing capacity in deferred tax and actually improve our pricing and indeed improve the IRR. So part of the half -- the other half of the new business stream comes from now having merged, having undertaken our Part VII, having merged the two funds. There is an ability to take credit of something in the SCR that we weren't able to do so before. It reduces margin -- sorry, it reduces strain, improves the IRR. But because it's a denominator effect in the solvency, it doesn't come through the CSM margin that you see. On a Solvency II basis, just to give you one more data point, our margin is 3.9% on BPAs, up from 3.6% last year. You see a different trend in CSM, because you don't have the denominator effect from the LACDT on the SCR. Apologies quite a technical answer.
Andrew Briggs: Larissa?
Larissa Van Deventer: Thank you. Larissa Van Deventer from Barclays. Nic, you mentioned that you're excited about the growth opportunities in the UK and you mentioned annuities. specifically. How should we think about Phoenix's appetite on growing the annuity book in light of the capital-intensive nature and the declining rate environment? That's the first question. The second question related to the new business strain that just came up. How should we think about new business -- the lower new business strain allocation from last year, when you went from £300 million to £200 million allocated to new business strain and your appetite to use funded reinsurance? And then the last one, on the mark-to-market losses that you discussed in your presentation on the IFRS side, as rates come down, can we expect some of those to reverse? Or how should we think about that evolution going forward, please?
Andrew Briggs: Okay. Thanks very much, Larissa. So I'll take the second one. Again, got a historic element to it and let Nic take the first and third. So the move from £300 million to £200 million was recognizing, we were confident that we could bring the new business strain down lower. And therefore, with £200 million of capital, we could still write circa £6 billion of premiums. We've got such strong growth in the capital-light Pensions and Savings side. We want to keep a balanced overall portfolio mix across the business as a whole. And don't want to be overly dependent on shareholder credit risk in the portfolio as a whole. So that's not to say, we wouldn't consider at some point in the future spending a bit more than £200 million. But broadly that ballpark we're happy with at this stage in terms of allocating capital across the range of opportunities we have. We continue to use Funded Re. We're not a big user of Funded Re. We continue to use that to a degree and expect to continue doing so going forward. And we continue to explore whether there are ways in which we could partner with third-party capital in order to effectively use our origination capability in the market to originate and use third-party capital around that. That's become a more challenging focus because of the regulatory -- evolving regulatory position around Funded Re. So we are starting to look at other models there. And if and when they get legs we'll obviously talk to you about them from there. Do you want to take the first and third Nic, yes?
Nic Nicandrou: I guess you've answered the first as well. Andy the -- I like the fact that...
Andrew Briggs: You'll get used to this.
Nic Nicandrou: Yes. I'm already used to it.
Andrew Briggs: It's great to the Board. We do a CEO update, the CFO update. So I always go first and pick up the good bits and you make everything else.
Nic Nicandrou: Yes. So no, look I like the fact that the team last year took the challenge of we'll give you a third let's see what you can do. And actually I think they've done a phenomenal job to limit the reduction in terms of premium, but to do it at improved economics. So great job to Tom and the team. Yes, we're not big users of Funded Re. In fact we used less in 2024 than 2023. So only about 12% of the risk was passed on through that. And to your point on rates yes if rates decrease from here you -- as indicated by the sensitivity that will be a tailwind for our IFRS economics. Both in terms of profits after tax and shareholders' equity. But of course the impact will be muted on overall excess surplus albeit Own Funds will go up.
Andrew Briggs: So let's head maybe behind Larissa there.
Mandeep Jagpal: Hi. Good morning. Mandeep Jagpal, RBC Capital Markets. Thanks for taking my questions. First one is a follow up on strain. One of the bars in the non-recurring impact on surplus capital was labor economics and temp strain. What did the temp train relate to? And how material was it? And when should it unwind? And then on CSM assumption changes and other one-offs were sizable positive this year. Could you provide some detail on what was included here? And whether you expect things like longevity to be a notable positive going forward?
Nic Nicandrou: Okay.
Andrew Briggs: Brilliant. This is the Nic show. Over to you both of those.
Nic Nicandrou: So the temp strain we did 2 billion out of the 6 billion bulk deals we did in the final quarter in fact in December. So we received the cash – well, we received the funds sort of primarily in deals and did not have the opportunity to effectively deploy that in line with our pricing strategy. So it kind of reflects if you like the timing of when the deals were done and our ability by the end of the year to deploy what we did. 70% of now -- of those funds that were received in December the two were received in December has already been deployed. So that temporary strain will unwind. But you'd see that effect depending on when we receive the money. In relation to CSM, okay, let me give you the analysis. About 45% of the 212 with profit fund, what we saw in 2024 is more of our customers taking up the open market option and forgoing the guaranteed annuity rates that were being offered. So that had a contribution that grew the CSM on the with-profits business. So that's 45% of the 212. Another 45% came in Pension and Savings and that purely the mark-to-market effect that comes through, because of the 13% equity rise, if you like it was an economic variance. And the balance 10% came in Retirement Solutions this is where we -- that reflects an improvement in longevity or a slowdown in the rate of improvement of longevity. We aligned it with our most recent experience and fitted it with the CMI 23 table. So that's -- yeah, that was a benefit coming through. We do review the longevity assumptions annually, and makes small tweaks at every point in time. There was a benefit come through and that accounts for 10% -- roughly 10% of the £212 million that you see.
Andrew Briggs: We go to Andrew and Stephen.
Andrew Baker: Hi. Thank you for taking my questions. Andrew Baker, Goldman Sachs. So just two please. Slide 29 so that's the one you show the operating profit and the covered the cost and amortization. So I understand you've got some 26 numbers, there some 24 numbers there. But shouldn't we incorporate tax which would come in the operating profit? Obviously, the amortization and the debt cost but wouldn't impact the dividend so isn't there still a gap there? And I guess, what am I missing as you think about the growing sort of 2027 equity and how you get there? If that's okay. And then secondly, just your 500 million management actions, so it's quite higher than what peers are pointing to. Do you see this as just a definition of what you guys are calling management action versus what peers are? Or is there something structural about your book that allows for more management actions than them? Thank you.
Nic Nicandrou: And so shall I go on the tax?
Andrew Briggs: Yes.
Nic Nicandrou: So you're right, we are comparing pre-tax on the IFRS basis. Sort of pre-tax numbers dividend is a post-tax. But the commitment that, we've made that, it troughs out and then increases in 2027, is clearly on a post-tax basis. So I didn't want to change the presentation. There is value in consistency. But there's -- your point is valid, and it's been factored into our commitments going forward. Look on the management actions, I don't really know what others do. Like yourselves, we've not seen an analysis of what other organizations do. Clearly, a lot of them talk about the ability to enhance yields. We've been transparent today in setting out all the three components. We spent time talking about each of those because you see as you go from right to left, if you like on the slide, plenty of opportunity through the £300 million or so that we pay in fees the multiple IMAs, the multiple funds, to get savings out of that. And again, the team has started that journey and there's a nice runway to come. The capital, I mean we've got again, so many books, so many data points. We're always improving the way in which we fit that data, lots of opportunities and the yield enhancement. Again, we've been transparent in the way in which we -- the various ways the new business, the finding opportunities to either lock into the same spread with the credit quality or -- and so on and so forth, the rotation into and out of yields markets dislocate and the ability to renegotiate some of the private. If you have a housing association that's taken out a 10-year loan, seven years, three years in the comment. They say we want to either shorten it or extend it. There is an ability to reset the terms. So I don't know the answer but you'll have to ask other zone on how they generate it. We are confident. I mean we've done, you saw what we did in the prior year. You've seen, we've analyzed it out as well. You've seen the contribution this year, and really my confidence comes to the fact that it's underpinned by real capability and opportunity here so I was happy to stand back -- stand behind the statement that we can continue to deliver on this order of magnitude and to go beyond in answering Andrew's question to say, yes, as the annuity book grows, there's no reason why that count increase.
Andrew Briggs: Yes, I mean to support that key messages, confident, they will continue at this broad level. I think sort of the couple of idiosyncratic bits to us probably would be the fact that we do have the asset and liability teams right as one together. I've not seen that elsewhere. I think the other element that's unique to us is -- others don't have 5,500 funds and don't have 60-odd IMAs with external fund managers. And I think that is a lever that we have that others don't as well. Also my sense is -- and it is just a sense Andrew, but my sense is that we price -- the yields we assume on the new mix, so we talked about the asset mix but the yields we're assuming we'll achieve, we're quite conservative about. So consistently year-in and year-out, we end up outperforming those yields quite materially. When we actually invest that new business money and that's been a source of comes through as a recurring management actions each year. So, Steven?
Steven Haywood: Thank you, Andy. Steven Haywood from HSBC. Just two questions. On your individual annuities, you've now got like a 12% market share. What further ambitions do you have here? And how do you treat them when you sort of look at reinsurance, are they the same as your BPAs or is it sort of a different part, should we say? And then secondly, assuming we get to 2026 at the end of it and you've achieved all your targets, what potential dividend growth can you put through at that point if you're still guiding for a mid-single-digit growth in operating cash generation? Thanks.
Andrew Briggs: I'll do the two -- do you want to take the first? Go for it.
Nic Nicandrou: Yes. So we reinsure 90% of the longevity risk on individual annuities. We reinsure almost 100% on BPAs. And that's the main difference in terms of reinsurance for those -- for that book.
Andrew Briggs: The other piece, I'd just add on the individual annuity side is that we've also launched second half of last year a fixed-term annuity. So for example, if someone is coming up to retirement, say, they’re age 63 and they want to retire, they need to cover the five years before like basically state pension kicks in. So we have pretty good early signs without fixed-term annuity Tom that's quite a bit lower capital strain as well. So we're thinking about broader propositions, innovative propositions to help people transition into retirement income broader than just individual annuities. I mean, in terms of post '26, I'm not going to get drawn on what dividend growth might be in '26 onwards. What I'd say is that the underlying franchise here is really, really strong. And so growing operating cash generation at mid-single digits, when that aren't growing at mid-single digits the whole tale of debt interest, we're going to hold them or reduce them over time. The surplus available each year is going to get bigger and we have a lot of financial flexibility across a range of fronts. We'll be really quite ruthless in deploying that financial flexibility where we will get the best returns for shareholders over the long-term. I'll sneak a look at the Chairman there, I think, he's taking note of that one. Any other questions in the room? Joan, have we got any on the webcast?
Unidentified Company Representative: Yes. Thank you. Question from Rhea Shah from Deutsche Bank. On Slide 7, you want to move from top 10 to top five in direct and intermediated, what actions are you taking to achieve this? What is the time line? And what market share does this equate to? And then the second question, what flows into future growth capital being what do you expect over the medium-term?
Andrew Briggs: Okay. Thanks, Rhea. And sorry, you're not with us in person, but nice that you've joined us. So the opportunity in retail is in two broad areas. So if you look at the disclosures in the appendix, what you'll see is that on the retail side we have outflows of around £14 billion about £5 billion of that is actually customers taking income tax free cash or a regular drawdown income. That's what we're here to do. So we don't regret that £5 billion at all. That's us a big payroll to the U.K. as well as the £3.7 billion Nic mentioned that's the core reason we're here in the first place. But the other £9 billion is basically circulating elsewhere in the market and we're winning £2.7 billion of that back again, Rhea. That's kind of what's going on. So that's the opportunity is to really close that gap. We want to be a net winner and not a net loser in that space. Then the other is that roughly 10% of the population that pays fees for advice have roughly half the assets and they go through independent financial advisers. And there it's all about propositions that those advisers want to recommend to their clients. That's where we're developing the on Smoothed Managed funds. We've got other partners we're working with and other propositions in that space we're developing. So I mean, the top would be getting much closer to that retail net of the £5 billion of income being kind of broadly net-net new to fund flows. So that will give you a kind of sense of that. But we are -- we drive things by value not volume. So we don't set market share targets. We don't set volume targets. We're focused on value creation of the business. In terms of flows to Future Growth Capital, so we funded the £50 million, Mike, I think in November of last year into that less than getting into investments on behalf of our customers and a further £50 million went in last month in February, I think, it might not get me. So that's £100 million altogether. It will take a period of time to get that deployed. We've committed £2.5 billion over the next two or three years there. And again more to come. We're excited about this, because we think it will give our customers better diversified returns overall, but also it will have a benefit to the broader U.K. economy at the same. So that's a key focus for us it's something we're excited about.
Unidentified Company Representative: Thank you. I think there's time for one final question from William Rosie at Canaccord Asset Management. Given your cost of equity relative to your cost of debt, why are you targeting debt reduction over share buybacks? Are you concerned about your current leverage position?
Andrew Briggs: Do you want to pick that up, Nic?
Nic Nicandrou: I think you can go.
Andrew Briggs: So I'll go for it?
Nic Nicandrou: Yeah.
Andrew Briggs: Yeah. So our view is that they're ultimately reducing leverage will bring down our cost of equity. So our cost of equity is elevated. I accept that. And we think reducing leverage will bring down the cost of equity. So the way we try and make these decisions, is we look at the intrinsic value of the business. So we're looking at that £1.4 billion of operating cash generation, growing mid-single digits going forward, take off the recurring uses of that, discount all that back in our market implied weighted average cost of capital and that's our intrinsic value. And we're trying to make decisions to optimize that. So we consider what do we re-deploy into new business organically? What do we do on deleveraging? What do we do on M&A? What is going to deliver the highest increase in that intrinsic value? And our judgment at the moment, is reducing leverage will bring down equity and that will have -- therefore bring down the discount rate in that intrinsic value calculation and lead to the strongest growth in that. So that's our focus. But it's something we assess on an ongoing basis. And we will look to deploy excess capital where the highest returns are available. So I think that's us done for questions. And I've got media calls. Nic and I have got media calls that I have passed back at the office. So thanks very much indeed, for your time here today. I'm conscious it's been a longer session than usual. We obviously wanted to update the one-year into our three-year strategy. But in particular, Nic got out on the road in his early weeks with both analysts and investors, picked up clear feedback on certain areas that we're facing, and worked to address them. So we have taken the extra time today to face and to address those. Hopefully that has been helpful for everybody. And for those on the buy side, watching we are busy out on the road for the next few weeks. So we look forward to meeting as many of you as possible. On those on the sales side, further questions don't hesitate to get in touch. Thanks very much, indeed.